Operator: Good afternoon and welcome to the MoneyGram International fourth quarter 2008 earnings conference call. At this time all participants have been placed in a listen only mode and the floor will be open for your questions following the presentation. It is now my pleasure to turn the floor over to your host, Dave Parrin, Chief Financial Officer. Please go ahead, sir.
David J. Parrin: Thank you, Jay and good afternoon everybody. Welcome to our fourth quarter 2008 conference call. With me on the call today are Pam Patsley, Executive Chairman of MoneyGram International and Tony Ryan, our President and Chief Operating Officer. If you have not yet seen our earnings release, you can find it on our website at www.MoneyGram.com.  I must remind you that today's call is being recorded and various remarks we make about future expectations, plans and prospects constitute forward-looking statements for purposes of the Safe Harbor Provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from expectations, plans and prospects contemplated in any forward-looking statements as a result of various factors including those discussed in our filings with the SEC. I encourage everybody to read our SEC filings, including our 10-Q for the period ended December 31, 2008 which is expected to be filed with the SEC at March 2nd, 2009. Additionally I want to note that today's remarks include certain non-GAAP financial measures including a presentation of EBITDA and adjusted EBITDA. Our earnings release includes the full reconciliation of these non-GAAP financial measures to the related GAAP financial measures. And now, I will hand it over to Pam Patsley.
Pamela H. Patsley: Great, thank you Dave and thanks to each of you for joining us on our fourth quarter 2008 conference call. First let me say just how excited I am to have joined MoneyGram. I believe there are tremendous growth opportunities in the broad global payments industry and truly extraordinary possibilities ahead for this organization. While Tony and Dave will cover 2008 results in more detail, I want to stress that MoneyGram continued to execute on its strategy and delivered a strong financial performance in our core money transfer and bill payment business in the midst of the challenging economy. We showed growth in money transfer and bill payment revenues, transaction volumes and agent locations. For the full year, money transfer revenue increased 18% and volume was up 15%. This significantly outpaced the World Bank's estimate of a 6% growth rate in global remittances in 2008. In the fourth quarter, MoneyGram delivered solid financial performance despite the weak economy. We demonstrated a 6% increase in money transfer revenue to $249 million from $234 million in the fourth quarter of 2007. Money transfer revenue growth slowed in the fourth quarter due to economic pressures and several important markets but particularly in Spain. Transactions to Mexico increased 1% and we outperformed the market which according to Banco de Mexico was down more than 6% in the fourth quarter of 2008. For the full year, the Mexican market was down 4% while our transaction volume was up 2%. Transactions originating internationally or outside of North America grew 4% as a result of the growth in the Middle East and Western Europe. This was offset by continued deterioration in Spain. Our international transactions accounted for 22% of our volume. Money transfers originated in the United States and Canada grew 10% driven by continued expansion of our agent network and our loyalty program MoneyGram Reward. EBITDA was $73 million for the quarter and adjusted EBITDA was $61 million. We continue to generate substantial cash flow allowing us to invest in our core money transfer and bill payment products while servicing our debt. Looking at 2009, no surprise we expect our volumes to be affected by the global economy. While it is unclear how long the economic downturn will last, our focus remains on the long term. We will continue to invest in MoneyGram's core money transfer and bill payment products and our emphasis is on profitable, strategic growth through product innovation and international expansion. The current environment presents opportunity for MoneyGram to leverage our network, our brand and our operating platform thus solidifying our position as the leader in the global payments industry and we are preparing for the November implementation of the European Union payment services directives that will enable us to operate in all 27 EU countries under one license. We believe that the payment services directive provides MoneyGram the opportunity to create a more flexible and strategic business process. In turn, this will allow us to efficiently, in our new geographies, introduce new products and services, enhance compliant processes, all with the end results of expanding our agent network. We are confident in and excited about our future. We are focused on pursuing profitable global growth while capturing operating efficiencies to drive margin expansion, investing our capital only when meeting appropriate ROI threshold, emphasizing cash flow generation and without question, maintaining an investment portfolio strategy with reduced risk and volatility. As I have said, there are exciting opportunities for MoneyGram to increase our market share bringing our convenient and reliable service to more people all over the world. I look forward to sharing news about our continued success and our accomplishments in the coming quarters. With that, I will turn the call over to Tony.
Anthony P. Ryan: Thanks, Pam. We are excited to have Pam on board. The broad industry now to an international perspective will help us continue to grow with the MoneyGram brand and build value for all of our stakeholders. Our performance in the quarter and throughout 2008 is a result of solid relationships with our customers and agents and the dedication of our employees whose continued efforts had enabled us to deliver on our purpose to help people in businesses by providing affordable, reliable and convenient payment services. One of the key highlights for the quarter was the continued expansion of our worldwide agent network. Our diversified footprint allows us to serve consumers in large cities and world locations around the globe. In 2008, we increased our network by 23% adding more than 33,000 new locations with nearly half of those coming in the fourth quarter. I would like to spend a few minutes discussing our four key growth strategies which are expanding our distribution, providing our worldwide consumers with the superior value, delivering a low-cost service platform to our agents and consumers, and delivering enhanced payment products. We continue to expand our distribution by maximizing relationships within our premier global agent network. We resigned Wal-Mart Mexico to a multiyear agreement and they continued to open new stores in this important market. In the US, we rolled out more than 6200 locations in 38 states with CVS, the pharmacy chain with the largest footprint in the country. The rollout was completed in mid-December and included the training of 84,000 CVS employees. During the quarter, we also launched our money transfer and bill payment service with Cardtronics, the world's largest non-bank operator of ATMs through 2250 Vcom terminals located inside 7-Eleven stores nationwide. We are also expanding our distribution by adding new countries. During the quarter, we entered four important new markets with strong potential in Africa with the addition of agent locations in Angola, Swaziland, Madagascar and the Central African Republic. Additionally, we continue to grow our presence in high-potential markets. In China, we have made important progress with provincial banks including Zhensen Pinyin Bank which should allow us to open several hundred additional locations later in the year. The signing of the Central Bank of India adds more than 1100 locations in villages and metropolitan areas across this growing market. In the Philippines, we will significantly expand our presence through the signing of an agent Lhuiller with 1200 locations located in 154 cities. In Bangladesh, today we announced an alliance with Agrani Bank, a leading commercial bank in Bangladesh to apply the services in more than 850 bank and foreign exchange locations across the country. Another part of expanding our distribution is to control our network in selected markets where it makes sense due to regulatory, competitive or other factors. At yearend, we had 34 company-owned stores in Germany and 22 in France which have provided solid year-over-year growth. During 2009, we plan to focus on productivity increases within the existing locations and continue to selectively add stores near immigrant populations. This month we acquired the assets of La filiale Bank in France which gives us five more highly productive stores in and around Paris that we plan to integrate into our French retail operations for a total of 27 locations in that country. During the quarter, we continued to integrate our newly acquired super agents in Spain and in January, we were able to begin selling the money transfer service directly to the independent agents in Spain. The second key strategy in pursuing profitable global growth is providing our consumers with the superior value. The primary vehicle for providing value is the MoneyGram Reward's loyalty program which provides the most loyal consumers with benefits such as faster transactions and notification when funds are received. The program exceeded our 2008 goals for consumer acquisition and transaction usage and was also a significant contributor to our domestic transaction growth. We intend to rollout a loyalty program in Canada and selected European markets later this year. We also provide consumers with the superior value by offering local currency or a choice of currencies in more than 129 countries and territories. The third element driving profitable global growth is our strategy to deliver low-cost service platform to our agents and consumers. During the quarter, we rolled out our new retail point of sale system in Germany with terrific results. We are seeing dramatic decreases in transaction time and increase convenience for our customers. The new system is scheduled to rollout in France, Italy and Spain in the near future. Our final strategy to drive growth is to deliver enhanced payment product offerings for our customers. On the send side, our e-money transfer platform gives us access to a new category of customers with deeper banking relationships. Online money transfer and bill payment transactions increased 32% over fourth quarter of last year. In 2009, we plan to make significant enhancements to our e-money transfer service which will improve consumer usability and operating efficiency. On the receive side, our cash to account services in Mexico and Poland had been well-received and we are working to add this convenience to consumers in other markets. With that, I will turn the call over to Dave to discuss our financial results. Dave?
David J. Parrin: Thanks Tony. As Tony discussed, our fourth quarter results demonstrate continued strength of our business, even in the midst of a challenging economic environment. As you can see in the earnings tables, we have adjusted certain measures by excluding net securities gains and losses as we believe these adjusted measures provide information useful to you in understanding the underlying operation of the Company. Adjusted EBITDA was $61 million in the fourth quarter and approximately $263 million for the full year. We do believe that the adjusted EBITDA are the most relevant measure of our performance so we have removed significant items that are not expected to recur or that our investment portfolio related and we reconciled those back to the income statement before income taxes. Our solid EBITDA provides amble financial flexibility to pursue our growth strategy and cover our interest obligations. Fourth quarter 2008 EBITDA was driven by continued growth in the money transfer business and the benefits of re-pricing in our official check business. We reported income from continuing operations before income taxes of $21 million for the fourth quarter reflecting the ongoing strength of our core business. Fee and other revenue increased 5% over fourth quarter 2007. The lower growth rate reflects the impact of the weakening global economy. Investment revenue was down 66% continuing to reflect reduced yields earned on our much lower risk investment portfolio, the declining market interest rates and lower investment balances. We recorded a net securities gain in the fourth quarter of $10 million and this was comprised with the value of our auction rate securities put option, net of mark-to-market losses and impairments on other asset-backed securities. Investment commissions decreased $60 million as official check balance has declined about $1.5 billion with the departure of official check customers. Commissions also were lowered because we change the payout and most customers, the Fed Funds less 100 basis points in the second quarter and the effect of Fed Funds rate declined over 400 basis points year-over-year. Operating expenses excluding our interest expense increased about 14% year-over-year in the quarter with the largest changes coming from compensation and benefit due to payment and performance incentives for 2008 as compared to the fourth quarter of 2007 which reflected the reversal of incentives. In the fourth quarter of 2008, we recognized a $90.5 million tax benefit which was attributed to losses realized in our investment portfolio and you can see that in the income tax line in our consolidated statement of income and loss. Based on our tax positions, we received $25 million in income tax refunds during 2008 and additional $44 million in income tax refunds in January 2009. As we assess changes in circumstances related to our future taxable income, we may record additional tax benefits. On a segment basis, I will begin with the global fund transfer segment. Adjusted revenue was $269 million versus $273 million last year as growth in fees were more than offset by declines investment revenue. Money transfer fee revenue grew 6% in the fourth quarter while money transfer transaction volume increased 8%. The higher growth in transaction volume over money transfer fee revenue is primarily due to the euro exchange rate. Retail money order and other fee revenue declined 6% compared with the fourth quarter of 2007 as we had the anniversary of the Property Bridge acquisition and we saw money order volumes decline 7%. We anticipate continuing downward trend in volumes in 2009. Also during the quarter, we implemented the first phase of repricing initiative for our retail money order product where we are increasing the per item fee. We are currently assessing the impacts of this first phase and may roll additional pricing changes in 2009. Although we expect fees increase from this repricing initiative, our increasing fees will likely cause volumes to decline as the result of customer attrition. Adjusted investment revenue in the GFT segment decreased 82% in the fourth quarter because of lower balances for the money order product and lower yields on lower risk assets as well as the decline in market interest rates. Commissions expense increased about 4% which was driven by higher money transfer transaction volume, a higher commission rate and the extended Wal-Mart agreement in the first quarter and a higher signing bonus amortization. On an adjusted basis, we reported $26 million in operating income and an operating margin of 10%. On an adjusted basis, operating income and margin has reflected increase in fee and other revenue from strong growth in the money transfer business offset by a decrease in investment revenue compared to the prior year. Now, moving on to the payment system segment, in the fourth quarter we saw benefits from the restructuring of our official check business. As a result, the repricing initiative and the exiting of several large customer relationships, we continued to generate profitability and improve margins on an adjusted basis although revenue is being affected by lower balances and lower return in our investments, which we expect to continue. As previously discussed, investment commission was down year-over-year and lower balances, the repricing initiative and the lower Fed Funds rate. In the current environment with the Fed Funds rate so low, most of our financial institution customers are in negative commission position meaning at the end action which we are paying commissions to the bank is negative while the vast majority of our contracts require financial institutions to customers to pay us for that negative commission amount, we have opted not to require negative commission payments and we are instead implementing additional fees. Now, for few comments on the balance sheet, at December 31, about 99% of portfolio was cash and government agency securities and at the end of the fourth quarter, we owned option rate securities with the market value of $21 million which is now reflect a $27 million value of the option from the settlement we had with the broker. We opted in to a buyback program sponsored by the broker that sold us all three of our original option rate securities and under that program, the Company received the right to require the broker to redeem the securities at full card value beginning in June 2010. We also owned CDOs with the market value of $29.5 million which represent a carrying value of an average of $0.04 and while our goal is to sell these securities over time, we believe they will cause limited risk at current carrying values. Our assets available to cover our service obligations at the end of the first half of the fourth quarter totaled $5.8 billion and with payment service obligations at $5.4 billion, our unrestricted asset positions stood at a healthy $391 million. The repositioning of the investment portfolio and the lower risk assets has substantially changed our investment portfolio risk profile and the recapitalization was specifically designed to provide the liquidity and capital necessary to operate and grow our business. To wrap up the financials, let me make a few comments about our expectations for 2009. Despite the turbulence in the market and the current interest rate environment, we will be keenly focused in gaining market share. However, we do expect money transfer transaction volume and revenue to continue to be affected by the challenging global economic situation. While revenue and volume are expected to grow, we currently expect it to be at a much lower and slower rate than what we have experienced historically. Growth in our global agent network is expected to continue but the rate is expected to be lower as the result of our larger agent base. Investment revenue is expected to continue to decline on year-over-year basis in both segments with the change in our investment strategy, lower interest rates and declining balances. We currently expect to continue to pay cash on the subordinated notes and accrue or pay in time the dividends on our Series B preferred stock and for 2009 assuming rates in effect to yearend 2008, we would expect our interest expense to be about $99 million which we currently plan to pay in cash. Now, with that Tony, I will turn it back to you.
Anthony P. Ryan: Thanks Dave. In summary, MoneyGram is financially strong. We have a solid balance sheet with $391 million and unrestricted assets as of December 31, 2008. We are generating substantial cash flow and continue to invest in the $400 billion global money transfer opportunity. We achieved solid growth in our core money transfer in building a business and continue to increase our global agent network. We believe that the long-term fundamentals of this market remain low growth rates and aging population in the developed economies and motivated workers from developing nation seeking employment. We believe we have a superior value proposition and the financial discipline to capitalize on the market opportunities and continue to grow our business profitably over the long term. We thank you for your time today and we will now open it up for questions. Jay?
Operator: (Operator Instructions) We will take our first question from Kartik Mehta - FTN Equity Capital Markets.
Kartik Mehta - FTN Equity Capital Markets: Tony, I have a question on money transfer transaction growth around the globe. Obviously, you said 2009 would be less in order, what has been historically and more than like what it was in 2008 because I am trying to get a sense for, do you anticipate it to be worse than it was in the fourth quarter 2008 if assuming the economy stays the way it is right now or would you expect it to be about the same?
Anthony P. Ryan: Kartik this is Tony. We have not given any guidance for 2009. What I would say is that we expect that the consumer will continue to be under pressure and we see that around the globe and a lot of linkage to unemployment rates. Having said that, again we believe the long-term fundamentals of this market are in place with the aging population, low birth rates and the developed economies and we believe that migration will continue over the long haul and we are prepared to make that longer term investment and I think that is the thing that we want to be the most focused on and we think there is some true improvement this opportunity is heading for us and markets were under penetrated, places like France and Germany on the send side and then the receive markets like China and India so our expansion is just getting started.
Kartik Mehta - FTN Equity Capital Markets: Maybe just, maybe so I get some clarity, are you able to tackle all about the trends you have seen in the first two months of 2009? I understand you do not want to give guidance for 2009 but what I am trying to understand is based on the current economic backdrop, what is really happening to the money transfer industry? Are you seeing deterioration or is it the same as what you saw in fourth quarter?
Anthony P. Ryan: No, we are not going to give comparisons on what we are seeing back to the fourth quarter but we are continuing to see growth and we keep focus on fact that we have tremendous opportunities in markets where we are under penetrated and our focus is on the long haul and making investment in our network expansion to take advantage of that growth opportunity.
Kartik Mehta - FTN Equity Capital Markets: Great, question on the European Union payments directive. I am trying, are you going, do you need to or will you change your strategy at all in Europe because of the new payments directive and what can that mean for the business?
Anthony P. Ryan: Payment services directive is aimed at harmonizing the regulatory and licensing environment within the 27 EU member states and as part of that, there will be different reporting and capital and licensing requirements that all participants will have to follow and that is the focus right now. As far as our strategy, we will open up opportunities to different classes of trade that we can sign up as agents and we have been undertaking the strategy now for quite a period of time in Italy and Spain where we have purchased our super agents to get more direct control over the signing of agents in those countries as well as opening up our locations within France and Germany and we continue to look at that as being our core strategy in those markets.
Kartik Mehta - FTN Equity Capital Markets: Last question, Dave for you, margins in this environment for both the money transfer business and the payments business, obviously the money transfer business is going to see lower transaction and lower revenue growth and the payments business is evolving for you. I was wondering if you could discuss at all what you would think the impact that would have on margins going forward.
David J. Parrin: I think that I would come back to what Tony had said and really we are really focused on continuing to grow our network and continue to do that profitably. So, given that we are not providing any guidance in 2009, I really do not want to comment specifically about margins.
Operator: Your next question comes from the line of David Scharf - JMP Securities.
David Scharf - JMP Securities: Couple of things; one, can you just get a little more specific on the payment service directive? What is meant by different classes of trade? I understand there is an effort to sort of make a lot of the reporting and so forth uniform throughout the all the EU but what precisely that this directive do with respect to new businesses you anticipate being able to enter?
Anthony P. Ryan: I think there is an opportunity to go after agents in countries where you need to have a banking license today to transact business and as the regulations change here that that licensing requirement will fall on the money transfer companies to undertake that reporting responsibility and therefore there is going to be other opportunities to sign up agents that would fall under our responsibility as far as the EU payment services directives. So we would open up certain locations today that could not transact with us because we do not have a license.
David Scharf - JMP Securities: I see and what locations are those? What countries does this open the door for you?
Anthony P. Ryan: Well there is a lot of EU countries where that is the case. If you take a look at France and Germany as an example, we are pursuing our own company-owned stores strategy as the result of the fact that you have to have a banking license in those countries so there is a finite number of targets for us other than our own agent locations to do business with today's environment.
David Scharf - JMP Securities: Oh, I am sorry, I still confused. Does this mean that you are no longer going to require owning facilities in France and Germany?
Anthony P. Ryan: No, I mean that does not mean that we are going to abandon that strategy. It just means that we would open up other potential outlets to us as a result of the changing regulatory framework.
David Scharf - JMP Securities: Okay, I see. Moving on, I believe at the end of, I think for 2007 Wal-Mart I calculated it, it was about 20% of total revenue, 27% of global funds transfer. Do you have those figures for 2008 now?
Anthony P. Ryan: Yes, we are at fourth quarter of total MoneyGram. I have that one handy here, it is 28% of our total revenue.
David Scharf - JMP Securities: Twenty eight.
Anthony P. Ryan: Yes.
David Scharf - JMP Securities: And I am sure I can do the math, if I were not so lazy but do you happen to know what percentage of GFT revenue that would be, more like 35% or so?
Anthony P. Ryan: That is not that high, 30%
David Scharf - JMP Securities: It is 30%, got you. Okay and lastly, staying on the Wal-Mart topic, how much of their business is bill/pay versus regular CDC remittance? 
Anthony P. Ryan: We do not break that out. 
David Scharf - JMP Securities: Okay, is it the majority of the transactions down to Wal-Mart locations?
Anthony P. Ryan: We really do not break that out. Wal-Mart from a total relationship perspective, they offer a money transfer, bill payments and many other products.
David Scharf - JMP Securities: Okay and are you able to comment on how much of your Mexico volume is accounted for by Wal-Mart? I am sort of wondering X Wal-Mart volumes, Mexico was still up.
Anthony P. Ryan: Yes, we do not breakout customer level information. We do not segment Wal-Mart from the rest of our results other than the total revenue line.
Operator: Your next question comes from the line of Robert Dodd - Morgan Keegan.
Robert Dodd - Morgan Keegan & Company: Just on the European businesses, again, just to clarify I mean these new rules would allow you if you chose to, at least to go into Wal-Mart and not in [38.53] anymore but I took a hypermarket off money transfer at the service kind of much like you do in the US which currently are prohibited from doing, is that right? 
Anthony P. Ryan: Yes, I mean Bob, if the license required today and the retail could not transact business in the future that opportunity could be available within those numbers stated. 
Robert Dodd - Morgan Keegan & Company: Right, got it. Just one other question, if I remember right and I probably do not, the rule of confidence on when you can actually pay cash on the preferred, it is basically prohibited unless you have got, you compare more than the 50% accumulative net income on preferred. Now that you have got positive net income since the restructure and after the tax gain in Q4, what is your viewpoint on how you are going to approach that decision given that it appears at least to me to be an option now which it was not before?
David J. Parrin: Well, Robert I think that one of the things that we have to evaluate in the whole processes are cash flows in general and right now, under our agreement, the bank agreement, there are restrictions that keep us from paying out large dollar amounts. There are some smaller baskets if you will. So at this juncture and while that can accumulate and get larger over time, it does take some time to build that up that would put us in a position to pay the first stock dividend from cash. So right now and I think for the foreseeable future, we will continue to pick those dividends.
Operator: (Operator's instruction) Your next question comes from the line of John Williams - Macquarie.
John Williams - Macquarie Research Equities: Just on the commission expense line…
Anthony P. Ryan: John, it is really hard to hear you. Can you get closer to the phone?
John Williams - Macquarie Research Equities: Sure, is that better?
Anthony P. Ryan: Yes, that is well. Thank you.
John Williams - Macquarie Research Equities: So, on the commissions' line, it looks like investment commissions were down substantially and just from a modeling perspective, how do you think we should look at that going forward?
Anthony P. Ryan: Well I think what we said is that we did not expect that to change that much going into 2009. It is down to practically zero and at this juncture, what we are doing is we are not collecting these negative commissions that I talked about but we have implemented additional fees. So I think from an investment commission standpoint, it is going to be pretty much at that zero level. That makes sense?
John Williams - Macquarie Research Equities: Yes, totally. Thank you.
Operator: (Operator's instruction) Your next question comes from the line of Craig Maurer - Calyon.
Craig Maurer - Calyon Securities (USA), Inc.: Could you talk a little bit about what you are seeing in the competitive pricing field? What your competitors are doing? Is there any need to respond or are we just remaining kind of flat like what we are seeing in the first half to the third quarter of last year?
Anthony P. Ryan: Talking about consumer pricing?
Craig Maurer - Calyon Securities (USA), Inc.: Yes, CDC pricing.
Anthony P. Ryan: Yes, it has been very stable. If you look domestically, we have had lots of stability there in terms of pricing. Internationally, there are pockets of competition and with our systems; we have the ability to price at the postal code level, at the country level, even down to the location level where necessary. So there are pockets where we will have to meet competition at those levels and I would say on urgent bill payment and in foreign exchange in certain quarters, we actually had some pricing power so I think it has been a very stable environment from pricing overall.
Operator: Ladies and gentlemen, that does conclude our question-and-answer session. I would like to turn the call back over to Tony Ryan for any additional or closing remarks.
Anthony P. Ryan: Great, well thank you very much for the time you had spent with us today. We look forward to giving you another update in our first quarter call. Have a good day.